Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Sally Beauty Holdings Second Quarter Fiscal 2018 Results Conference Call. At this time all lines are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given to you at that time. As a reminder, today's conference call is being recorded. I would now like to turn the conference over to Mr. Jeff Harkins. Please go ahead.
Jeff Harkins - Sally Beauty Holdings, Inc.: Thank you, Cynthia. Before we begin, I would like to remind you that certain comments including matters such as our forecasted financial information, contracts or business, and trend information made during this call may contain forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. Many of these forward-looking statements can be identified by the use of words such as may, will, should, expect, anticipate, estimate, assume, continue, project, plan, believe, and similar words or phrases. These statements are subject to a number of factors that could cause actual results to differ materially from expectations. Those factors are described in Sally Beauty Holdings filings with the Securities and Exchange Commission, including its most recent Annual Report on Form 10-K. The company does not undertake any obligation to publicly update or revise its forward-looking statement. The company has provided a detailed explanation and reconciliations of its adjusting items and non-GAAP financial measures in its earnings press release and on its website. With me on the call today are Chris Brickman, President and Chief Executive Officer and Brent Baxter, Group Vice President, Principal Accounting Officer, Controller, and Interim Chief Financial Officer. Now, I'd like to turn the call over to Chris.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Thank you, Jeff and good morning, everyone. First, I will provide a brief overview of our performance for the quarter and review the progress we have made on our strategic initiatives. Then I will discuss our second quarter financial results in more detail. Although we delivered sequential improvement in same-store sales and sustained growth in our Sally e-commerce business, traffic trends in our Sally Beauty stores in the U.S. continued to be a challenge. A slight increase in consolidated net sales was offset by a modest decline in gross margin and higher selling, general, and administrative expenses due primarily to foreign exchange translation. However, the benefits of U.S. tax reform, lower interest expense, and a lower share count helped drive strong double-digit growth in both reported and adjusted diluted earnings per share. In addition our operations continue to generate substantial operating free cash flow with an increase of 22.3% over the prior year, to $59.1 million. We continue to make progress on our strategic initiatives, focused on driving long-term growth and intensifying our focus on our defensible core categories, hair color and hair care. During the quarter, we completed the distribution center investments that allow Sally e-commerce orders to be shipped in two days or less to almost all U.S. households and we began marketing that capability late in the quarter. To further strengthen our hair color offerings in Sally stores, we successfully completed the nationwide launch of two new color lines, Wella ColorCharm Paints and Arctic Fox. Additionally, we completed the testing and refinement of our new Sally loyalty program and we are preparing to launch the new program nationally before the end of the fiscal year. We expect the economics of the new loyalty program will be close to breakeven with our existing pay-for-discount program. The incremental long-term benefits will come from increasing traffic over time by acquiring more loyalty members and engaging them on a regular basis via email and direct mail communications. In addition we also finalized the majority of the initiatives outlined in the international portion of our 2018 restructuring plan with the goals of reducing our European cost base and better leveraging our global scale. And lastly, we repriced our $549 million floating rate term loan, reducing the interest rate spread by 25 basis points, which will save us more than $1 million per year in interest expense. As we announced shortly after the quarter-end, we have launched a cost reduction program which is focused on additional organizational efficiencies, direct and indirect sourcing, store labor hour optimization, supply chain redesign, and a reduction in inventory levels. It is expected that the financial benefits generated from this aggressive program will be reinvested in market competitive store wages, enhanced marketing analytics, new merchandising and store concepts, and the acceleration of technology investments that will improve customers' in-store experience, further grow our e-commerce business, and provide better visibility to store level inventory. I'll now spend a few minutes focused on the unique strategies designed to drive growth in each of our core business segments. In Sally Beauty, we are rolling out a new impulse strategy across all Sally stores in May and it includes new fixtures as well as a pricing strategy similar to a value menu in a quick service restaurant. Each basket of items will be labeled $1, $2, $3, et cetera, and all items in the basket are below that price point. We are also designing and testing a number of in-store initiatives that seek to reinforce what Sally Beauty is best known for amongst its core consumer base, hair color and hair care. Some of this initiatives include repositioning hair color to a more prominent and accessible location, lowering gondolas to provide better line of sight to our color and care offerings, removing underperforming SKUs, and enhancing in-store communication materials designed to take the mystery out of in-home hair coloring. The latter initiative will include a step-by-step approach to walk the customer through selecting their preferred color, choosing the right developer, picking the correct tools, and adding the appropriate treatment that will deliver the best solution for her desired hair. These initiatives are all part of a new Sally concept that is being tested in a store near Columbus, Ohio. In addition, we are planning on converting another five to six stores to this new concept over the second half of the fiscal year. We also continue to leverage and expand our girlfriend-in-the-know selling model, which is designed to generate a genuine connection between our customers and our associates. By actively and authentically engaging our customers, our beauty advisors are able to appeal to new shoppers and inspire loyalty in existing customers, which we believe will drive increased customer conversion. As an indication that the selling model continues to gain traction, in the second quarter, Sally Beauty delivered modest growth in both average ticket and units per transaction. Additionally, we are rolling out a new color certification and training program to all associates during the fourth quarter, which will deepen our associates' knowledge around hair color and further assist the customer through the previously described step-by-step color solution. As we intensify our focus on hair color, we are still planning on rolling out box color in all of our Sally stores towards the end of this fiscal year. This initiative is grounded on recent consumer research we conducted that shows that a high percentage of our loyal Sally Beauty customers still rely on the simplicity and ease of boxed color. Up until now, Sally Beauty has sold only professional color, with color separate from developer and separate from the accessories needed to complete the task. If customers desire a box color option, we intend to provide that. We anticipate that we will offer a couple of box color options in our Sally Beauty stores, one being our private label brand Ion and the other a national third-party brand. These options will be marketed as professional color already measured for you. In an effort to align our marketing spend with the best way to reach our customers, the Sally Beauty team, as noted above, has been working diligently to better understand our customer segments, where they shop, how they shop, and the best way to communicate with them. Based on qualitative and quantitative analysis, we are modifying our approach to how we communicate with our customers and we'll be reallocating our marketing spend to more impactful channels going forward. Based on customer segmentation, we will focus on direct mail to the group of customers who prefer that medium over digital options. These tend to be older customers. For other customer groups, we will continue to focus on engaging beauty influencers, who share how-to videos featuring many of Sally Beauty's exclusive professional products. We have significantly increased our social media presence this year, and we have aggressive growth plans in the coming months. We continue to be excited about the progress we are making in social media as a platform to gain new customers, increase our impressions, and further assist our customers with education about Sally's hair color and care offerings. And lastly we have recently tested radio advertising in a number of markets and observed positive results. As we refine our overall marketing mix, we will examine the possible expansion of this marketing medium. Now turning to BSG. As most of you are aware, our BSG business is the leading distributor of professional beauty products in the U.S. and the CosmoProf brand is a trusted partner for the vast majority of beauty professionals. In support of its leading position, the BSG team continues to drive top line growth by winning exciting new brands. For example, #mydentity, Babe Lash, ColorProof, and Puff.ME, continue to drive additional sales since being introduced over the last few quarters. In the second half of the fiscal year, BSG will be launching both a new TIGI (00:11:21) professional hair care brand that will be exclusive to BSG and a new color line offered by Schwarzkopf. New products and brands are the lifeblood of the industry and we will continue to work with our vendor partners on brand development and acquisition, while pruning slower moving lines and SKUs in order to deploy our working capital more efficiently. Over the next few quarters, BSG will be expanding its territory distribution for several existing brands through its store, full-service, and online channels. In addition, BSG will also continue to focus on growing exclusive brands, while de-emphasizing non-exclusive brands, especially brands that have opened their distribution to full retail. And lastly, BSG will look at opportunities to acquire distribution rights of fast growing boutique brands and continue to evaluate expansion opportunities through acquisitions similar to those we have completed in the past, such as the Quebec acquisition that was completed during the first quarter. BSG is testing several in-store initiatives for developing its store-of-the-future concept. Store changes include creating more breaks in gondolas for better traffic flow, a redesigned appliance section with added space for testing demo models and adjusting the layout of categories in the store with hair color moved to the back wall, hair care moved to the center of gondolas, and nails moved to the side wall. Lastly, we will be focusing the store presentation around our exclusive brands while removing low turning or underperforming SKUs. Meanwhile, our CosmoProf mobile app, launched just over a year ago, continues to experience solid growth in the number of downloads and active users as well as garnering positive feedback from professional stylists. Currently, we have over 140,000 active users logging in and using the CosmoProf app on a regular basis. On the CRM front, we continue to build upon our e-mail database to drive incremental traffic and sales by targeting promotions to specific customers in order to drive traffic to our website and stores. To summarize, we made solid progress in the second quarter on key strategic initiatives, but acknowledge that we have yet to see the results in the top line. While we recognize that we have a great deal of work to do, we firmly believe that we are working on the right initiatives that will help improve the company's revenue trend, particularly in our U.S. Sally Beauty business. Turning to some of the financial details of the quarter, consolidated revenue was $975.3 million in the quarter, growth of 0.9% versus the prior year with favorable foreign exchange and a modest revenue contribution from our first quarter acquisition in Quebec, Canada, partially offset by a 1.4% decline in consolidated same-store sales, and a modest impact from the multiple storms that hit the Northeast portion of the U.S. during the quarter. Foreign currency translation had a favorable impact of approximately $16.7 million or 170 basis points on reported revenue growth. The hurricanes, particularly Hurricane Maria that disrupted operations in the fourth quarter of fiscal 2017 had a very modest effect on business in Puerto Rico, negatively impacting both revenue growth and same-store sales by approximately 10 basis points. Gross margin in the quarter was 49.9%, a decreased of 60 basis points compared to the prior year. A portion of the gross margin decline was caused by a change in mix between the Sally Beauty segment and the Beauty Systems Group segment. Additionally, in the Sally segment, margin gains from revenue increases in higher margin categories, specifically hair color, hair care, and cosmetics, were more than offset by increased coupon redemptions, strategic pricing reductions on select skews, and a geographic revenue mix towards the segment's lower margin international business. In the Beauty Systems Group segment, benefits in the quarter from prior-year pricing initiatives were more than offset by a mix shift towards lower margin brands and the timing of vendor allowances recognized this year compared to the prior year. Selling, general, and administrative expenses including depreciation and amortization expense were $368.5 million in the quarter, an increase of $8.6 million or 2.4% from the prior year, as benefits from the 2017 and 2018 restructuring plans and tight control over discretionary expenses were offset by negative foreign exchange and the operating expenses of our Canadian acquisition. Adjusted operating earnings and adjusted operating margin, both of which exclude $6.8 million of restructuring charges related to the 2018 restructuring plan, were $117.9 million and 12.1% respectively, compared to $128.2 million and 13.3% respectively, in the prior year. Adjusted diluted earnings were $0.54 per share, growth of 22.7% compared to the prior years' $0.44 per share, driven by the impact of U.S. tax reform on our consolidated effective tax rate, reduced share count from current-year and prior-year share repurchases, and lower interest expense related to the company's prior-year debt refinancing. We deployed our free cash flow to purchase a total of 2.9 million shares during the quarter at an aggregate cost of approximately $50.1 million. At the end of the quarter, inventory was $935 million, up 1.9% versus the prior year, driven by the impact of a weaker U.S. dollar and incremental inventory related to the Canadian acquisition that closed in the last quarter. Excluding those two items, inventory was down $6.3 million, or 0.7%. Turning to segment performance. In the second quarter, our Sally Beauty segment generated revenue of $580.1 million, an increase of 0.7% compared to the prior year. Foreign currency translation boosted the segment's revenue growth in the quarter by 260 basis points. Same store sales decreased 1.6%, driven by a modest decline in store traffic and transactions and the lingering impact of the hurricanes late in the prior fiscal year, contributing approximately 10 basis points of the decline. We made meaningful progress with Sally's U.S. and Canadian e-commerce business in the quarter, which helped deliver e-commerce revenue growth of 23.5%. We expect to continue to invest aggressively in improvements to the overall online customer experience. As an example, the story in the UK was similar, with e-commerce revenue up 32.5% in that market. Gross margin for the segment was down 70 basis points to 55.6%. Benefits from revenue increases in the higher margin categories, specifically hair color, hair care and cosmetics, were offset by prior strategic pricing reductions, increased coupon redemptions and a geographic revenue mix shift towards lower margin international segments. Segment operating earnings were $90.3 million, a decrease of 6.7% versus the prior year, driven by lower gross margin and higher labor expenses, only partially offset by the benefits from the 2017 and 2018 restructuring plans and general operating discipline. Now turning to our Beauty Systems Group segment, BSG revenue in the quarter was $395.2 million, up 1.2% versus the prior year, driven by foreign currency translation, which increased BSG's revenue growth by approximately 40 basis points in the quarter and the revenue contribution from the acquisition in Canada that closed in this year's fiscal first quarter. BSG's same store sales declined 1.2%, caused partially by supply chain disruption issues from our two largest suppliers and the strategic decision to de-emphasize certain hair care brands that had expanded their distribution to full retail. BSG's gross margin was 41.4% in the quarter, down 50 basis points from the prior year. The benefit of prior-year pricing initiatives was more than offset by a mix shift to lower margin vendors and the timing of vendor allowances recorded this year compared to the prior year, which should normalize across the full fiscal year. Segment operating earnings for BSG were $59.9 million, down 4.4% from the prior year, driven by lower gross margin, only partially offset by the savings from the 2017 restructuring plan and again general operating discipline. During the second quarter, the company successfully completed the majority of the initiatives related to the original 2018 restructuring plan that we launched last November. Recall this restructuring plan was focused primarily on significantly improving the profitability of our international businesses with a particular focus on our European operations. The company still expects total charges related to these international initiatives to be in the range of $13 million to $14 million, with approximately $12 million to be recorded in fiscal 2018. The company still expects to realize annualized benefits in the range of approximately $12 million to $14 million from these international initiatives, with a benefit of approximately $8 million to be realized in fiscal 2018. As previously mentioned, subsequent to quarter-end, the company announced a cost reduction program designed to fund investments in the company's long-term growth strategy. The organizational efficiency component of this program is now part of an expanded 2018 restructuring plan and will result in additional restructuring charges, primarily employee separation and third-party consulting costs in the range of $15 million to $16 million. These additional organizational efficiencies, now part of an expanded 2018 restructuring plan, are expected to generate additional annualized benefits in the range of $14 million to $15 million, with benefits in the fiscal year 2018 in the range of $6 million to $7 million. The company intends to reinvest the majority of these newly-identified benefits into key strategic growth initiatives. The expanded 2018 restructuring plan, including the international restructuring initiatives previously disclosed, is now expected to generate total annualized benefits in the range of $26 million to $29 million, with benefits in the fiscal year 2018 in the range of $14 million to $15 million. These savings exclude expected future benefits from the other work streams included in the cost reduction program, namely direct and indirect sourcing, store labor hour optimization, supply chain efficiencies, and a reduction in inventory levels. To repeat, the majority of the domestic benefits will be reinvested into important growth initiatives. The total restructuring charges from the expanded 2018 restructuring plan are now expected in the range of $28 million to $30 million, the majority of which we expect to record in the current fiscal year. Restructuring charges of approximately $6.8 million, related primarily to employee separation costs, were recorded in the second quarter. Turning to guidance for the remainder of fiscal year 2018. The company now expects full-year consolidated same store sales to decline by approximately 1%, with modestly improved comps in the second half of the fiscal year, particularly in the fiscal fourth quarter, which was so significantly impacted by three hurricanes last year. We expect foreign exchange and our new Canadian acquisition to be a continuing source of growth in reported revenue in the back half of the year. Taking into account the new stores from the Canadian acquisition, the company is still maintaining its guidance for consolidated year-end store count to increase slightly compared to the prior year. Additionally, full-year gross margin is now expected to decrease slightly compared to the prior year, due primarily to a more promotional retail environment and a business segment mix shift. Full year selling, general and administrative expenses, including depreciation and amortization expense, are now expected to be approximately 37.4% of sales versus 37.2% of sales in the prior year. Reflecting the benefits of U.S. tax reform, our consolidated effective tax rate for fiscal 2018 is expected to be in the range of 22% to 24%. At this time, the company still expects the majority of the benefits from U.S. tax reform to flow directly to our bottom line, to the benefit of our shareholders. Full-year reported operating earnings are now expected to decrease slightly due primarily to higher restructuring costs related to the expanded 2018 restructuring plan. Full year adjusted operating earnings, including the impact of the hurricanes in both years and the strategic investments to drive future growth, are still expected to decline slightly with the revised revenue and gross margin outlook offset by benefits from both the 2017 and 2018 restructuring plan and discipline in corporate G&A expense. Importantly, however, the company expects full year benefits from its debt refinancing, lower average share count, and the benefits of U.S. tax reform, to result in strong double-digit growth in both full year reported and adjusted diluted earnings per share, and full year operating free cash flow. Capital expenditures for 2018, including the investments behind the strategic initiatives noted above, are still expected to be approximately $110 million. In summary, while working to execute important strategic growth initiatives, including the work streams from the previously discussed cost reduction program designed to fund key initiatives focused on our core differentiated categories of hair color and care, we will continue to seek opportunities to run our business more efficiently, both within our own organization and be a more productive partners with our outside service providers. And finally we are excited to add Aaron Alt to our team as our new Senior Vice President, Chief Financial Officer and Chief Administrative Officer with an expected start date of June 4. Aaron has a proven track record of transformational leadership in retail that will help us accelerate and expand the cost reduction and strategic growth initiatives currently underway at the company. His broad experience will be an asset to us as we build upon our strategy and prioritize our opportunities for long-term growth. Thank you for your time this morning. Now, I would like to turn the call back over to the operator to take your questions.
Operator: Thank you. Our first question will come from the line of Oliver Chen with Cowen & Company. Please go ahead.
Oliver Chen - Cowen & Co. LLC: Hi. Thank you. Chris, regarding the Sally division, what are your thoughts on the factors you would say are necessary to drive traffic? How would you prioritize the different initiatives in terms of getting traffic there? And the decision on box color seems pretty remarkable, what do you see as the long-term opportunity there, as well as the magnitude of how big that could be? Thank you.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Yeah, Oliver. Thank you for that. On driving traffic, obviously, we've got both short-term and longer-term goals that we have to work on. I think, the number one thing long-term is that we need to refocus the business on color and care as its core, differentiated categories where we have a clear right to win. And so, what you see is you see us have some things in the short term, such as the impulse strategy in May which allows us to drive some incremental traffic this year to maintain our performance, as well as the strategy around box color that you mentioned, where we see that we're losing customers to a simpler option – which, by the way, box color is a scale. Just to give you the scale of that, is roughly four times the size of our total color business at retail. And so there's a huge unmet opportunity here, where we think we can offer a pro color that's premeasured for you, a higher quality boxed option that we've been missing out on until now. So those are the more immediate options of driving traffic in our Sally business. Down the road, obviously, getting our loyalty program in place and being able to market to a much larger group of customers, testing new store concepts that refocuses that core or color and care and really thinking about easier shopping options. Those are the things we've got to test to really drive the long-term growth strategy. And we're working hard on getting those right. There's a lot of tests in play right now. Also finally, training our associates and paying them more so that we can attract the right talent who can deliver real advice in color, is very core to the future as well. And then finally, I'd underline e-comm. We're seeing accelerated growth in e-comm. We expect that to continue to accelerate. We're late to the game and I understand that. But that's going to be a platform for growth for the future as well. So it's a mix of some of those shorter-term things that we're going to keep our sales trend improving. And then the longer-term things that we've got to invest in over time.
Oliver Chen - Cowen & Co. LLC: Okay. Chris. That's really helpful. And just a last question is, could you update us on progress you've had and your thoughts on your relationship with Amazon and how that's going and what you see ahead there? Thank you.
Christian A. Brickman - Sally Beauty Holdings, Inc.: So, the bottom line is we're continuing to test a same-day delivery service with Amazon. I would expect we will expand that test at some point. In addition, we're working on improving our store on Amazon and making sure we're performing better there. And we're seeing better growth there as well. So we will continue to invest in that partnership, as well as our own e-commerce platform and make sure that we're growing both. We are coming from behind, but I think we've got a great opportunity, now that our supply chain infrastructure is in place to really accelerate growth and unlock the potential of our e-comm business.
Oliver Chen - Cowen & Co. LLC: Best regards. Thank you.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Thanks, Oliver.
Operator: Thank you. Our next question comes from the line of Rupesh Parikh with Oppenheimer. Your line is open.
Rupesh Parikh - Oppenheimer & Co., Inc.: Good morning. And thanks for taking my question. So maybe starting off with the BSG segment, so another weak quarter for BSG. So, just curious as you look at that segment, what do you think is driving the softness there? Are there changes on the competitive front? And as you look at the outlook for the remainder of the year, do you expect to be back to flat, or even positive growth for the back half? Thank you.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Thanks, Rupesh. And yeah, I think, a couple of things. So there's a couple of external factors. I don't want to make excuses, but there was supply chain disruption with two of our largest vendors here that affected the quarter and I do think the storms in the Northeast U.S. also affected the quarter. That being said, there's also some competitive factors that you mentioned. One of those is the electrical category, we've seen declines in the appliance category. We've seen good healthy growth in hair color, which is the core of BSG. But we've seen some decline in the appliance category and it's clear we've got to play the game differently there. So you're going to see some real changes to that category in terms of the price points we hit and how many SKUs we carry and how we focus our competition there. We are also seeing some erosion of hair care brands that move more to retail. So, an example of that would be It's A 10, where you've got a brand that's heavily covered in Ulta, Amazon, and other channels. It's a hair care brand, not tied to a color line and that's the kind of brand where we've got to be very focused on our price points, but also de-emphasizing those brands over time so that we can focus on our exclusive brands that are more focused on the pro channel and obviously exclusive to us. So there's some category changes in our strand (00:33:54) and category strategy changes we've got to make to get the growth back in the business, but we're confident we'll get there in the next couple of quarters.
Rupesh Parikh - Oppenheimer & Co., Inc.: Okay. Great. And then switching to the Sally segment, so the plan is to roll out your loyalty program nationally. So I was curious, if you look at your tests so far, what are you seeing from a traffic and I guess, lift (00:34:14) perspective in the areas that you've tested the program?
Christian A. Brickman - Sally Beauty Holdings, Inc.: You know the biggest win, Rupesh, is the immediate sign up of consumers and the access to their e-mail database and contact database. So we're seeing a very rapid growth in the size of the program in Florida and Georgia in terms of the number of customers signed up per store. And that allows us to build the database and market to them. I think it's – where still – the data's still mixed in terms of how well we can translate that data into increased traffic over time, we expect that will happen. But if you look at all of our competitors, their programs are multiples of our size program and we feel like we have to get to a free program so that we can get to a program the size of theirs and use that as a marketing vehicle that we can then use to drive traffic over time through offers and very relevant offers by consumer.
Rupesh Parikh - Oppenheimer & Co., Inc.: Okay. Great. Thank you.
Christian A. Brickman - Sally Beauty Holdings, Inc.: You bet.
Operator: Thank you. Our next question come from the line of Simeon Siegel with Nomura Investment. Your line is open.
Simeon Avram Siegel - Instinet LLC: Thanks. Good morning. Chris, can you share any learnings you've gained from the price reduction? How is the depth of the reduction and the breadth of the impacted SKUs relative to your initial plan? And then, if possible, just to contextualize, do you know how large the gap is in the comp spread between, let's just say, your top and bottom quartile of stores? Thanks.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Okay. Let me separate the two very different questions. So I would say the total gross margin hit that we expected to take associated with the very targeted price reductions we took in November, was a little above 20 basis points and where it's coming in right around that range. So it was a relatively modest reinvestment in some overlapping SKUs, especially in multicultural. We think that has worked as expected. There's a few, where maybe we can – where we didn't get the benefit we thought and we'll be rethinking that strategy over time. But over time, the key was we didn't want our customers in those categories getting the perception that all of our products were high priced just because there was a few overlapping SKUs that were priced higher than the competition. So I think it's performed exactly what we wanted it to do, but now we've got to really focus ourselves in on our core strategy and core categories of color and care and drive growth across those categories. You know, I'm sorry, I forgot the second question, Simeon. If you could just repeat that really quick.
Simeon Avram Siegel - Instinet LLC: If you have the comp spread gap between your best and lowest comp stores (00:36:50)?
Christian A. Brickman - Sally Beauty Holdings, Inc.: I don't have that on my fingertips. There is a comp spread gap. There obviously are some higher-performing stores, but I don't have the exact numbers in my hand.
Simeon Avram Siegel - Instinet LLC: Okay. And then just quickly, did you give what the margin impact was from the decreased vendor allowances, BSG? Anyway to quantify that?
Christian A. Brickman - Sally Beauty Holdings, Inc.: We didn't. It is a reasonable part of the margin miss for BSG in the quarter and it should normalize within the full year. Last year's Q2 was a big allowance quarter for BSG and this year's Q2 is not. That's mostly a timing issue. So that should normalize pretty quickly.
Simeon Avram Siegel - Instinet LLC: Right, thanks a lot. Best of luck through the rest of the year.
Christian A. Brickman - Sally Beauty Holdings, Inc.: You bet. Thank you.
Operator: Thank you. Our next question come from the line of Simeon Gutman with Morgan Stanley.
Josh Kamboj - Morgan Stanley & Co. LLC: Hi. This is Josh Kamboj on for Simeon Gutman. Thank you for taking our question. Regarding your recent and ongoing cost reductions, can you talk about the general split between Sally Beauty, BSG, and corporate? How much are the year-over-year EBIT run rates benefiting from cost reductions? And what are the run-rate savings in SBS and BSG?
Christian A. Brickman - Sally Beauty Holdings, Inc.: Well, again, most of the cost reductions of the latest program we announced, we expect will flow into investments. It is fairly well-spread across the business. So, it affected corporate expenses, especially with the overhead. Some of the sourcing initiatives will affect our product sourcing. A lot of that will probably benefit Sally first, since a lot of that product sourcing is on our own brands. And as a result of that, Sally sells more of our own brands. The supply chain benefits and store labor optimization work will benefit both businesses. So, for the most part, it's spread across the businesses with probably a slight bias towards Sally.
Josh Kamboj - Morgan Stanley & Co. LLC: All right. Thank you.
Christian A. Brickman - Sally Beauty Holdings, Inc.: You bet.
Operator: Thank you. Our next question comes from the line of Olivia Tong with Bank of America Merrill Lynch. Your line is open.
Christopher M. Carey - Bank of America Merrill Lynch: Hi, everyone. This is Chris Carey on for Olivia. Just on the gross margin, you've seen cost inflation across the supply chain, whether from commodities or transportation expense, can you just talk to your exposure to some of those dynamics, maybe how do you think about managing those risks going forward?
Christian A. Brickman - Sally Beauty Holdings, Inc.: It's actually pretty low for us. A, we have very high margins. B, is we're not dependent on most of those commodities that are starting to drive inflation. So we're actually, given our sourcing initiative, expecting to see significant savings in our sourcing and supply chain in the coming quarters and years. So we're not particularly exposed on the commodity side. As we have mentioned, we are going to be in investing in labor and higher wages for our associates and using some of the savings to invest in higher labor. So my guess is that's where we will experience most of our inflation in the coming year.
Christopher M. Carey - Bank of America Merrill Lynch: Okay. Got it. And then just on the loyalty program. I think, you mentioned launch nationally before the end of the fiscal year, but have you talked or considered exactly toward what part of the fiscal year that might be happening? And then, I think, you mentioned close to break even and so what kind of cost would you be anticipating? Or can you provide any parameters around the costs you'd be anticipating as you get that program ramped up?
Christian A. Brickman - Sally Beauty Holdings, Inc.: Yeah. So, when we mean towards the end of the fiscal year, we're meaning kind of at the very end of the fiscal year. So, approximately September is our best guess. But we'll sort that out. But the team's working hard to get that launched. And again, in terms of cost, it's hard to extrapolate from 300 to 3,000 and get it exactly right. We expect it to be a wash, but it could go a little either way, depending as we roll it out nationally. So we're just – that's more just hedging our bets which is as you expand from 300 store tests to 3,000 stores, we're not exactly sure how the final economics will fall. But we're expecting basically break-even economics.
Christopher M. Carey - Bank of America Merrill Lynch: Okay, understood. Thanks very much.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Okay.
Operator: Thank you. Our next question will come from the line of Kelly Houser (00:40:59) with Buckingham Research. Your line is open.
Unknown Speaker: Hi. Thanks for taking my question. If I could just follow up on the loyalty program rollout? I guess, I know you receive about $30 million (00:41:10) or so in operating income now from the legacy program. So I guess, what are you seeing that makes you feel comfortable that you'll be able to offset that loss? And also what level of confidence do you have that there won't be some disruption in the business when you roll it out to all doors? Thank you.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Well, first let me get the first – the second part of your question first. So obviously, the reason we tested it was to make sure that our customers bought into the program, the transition was relatively smooth, and we optimized the communication with those customers, the training of our associates and all those things. So, we've put a year into testing the program to get it right and that gives us the confidence that with the right training and right communication, the customers transition over pretty smoothly. What I would say is just that the total dollars that we achieved from selling cards, remember that it's part of shifting to the new loyalty program, the BCC discount is then eliminated and replaced with loyalty points rewards. And based upon the redemption of those rewards we're witnessing as well as the traffic we're seeing in the stores, the numbers work out to basically a breakeven at this point in time, with the big benefit being that you have a much larger database, or you will have a much larger database of customers to market to in the future. So we've obviously worked those numbers extensively back and forwards over the last year and we're pretty confident now that it's settling out at approximately a wash.
Unknown Speaker: All right. Thanks. And then on the BSG side, you mentioned that some of the weakness was due to the decision to pull back on some hair care brands that have gone to retail. So, is that something then that we should expect to continue to be a negative impact on the business for the next couple of quarters? And then, if there's any chance you could quantify the impact of that decision in the business in 2Q?
Christian A. Brickman - Sally Beauty Holdings, Inc.: I can't quantify it for you. It will continue to affect us somewhat. Those are not gigantic brands for us, but they are relevant-sized brands. We are going to be implementing a pricing strategy against those brands that gets more competitive to mitigate some of the decline. But as we said, we'd expect that those brands are now more in the retail arena and as they move there, they're going to -pros will abandon those brands. It's what happens with professionals. They tend – once they see the brands in the retail arena, they tend to not want to sell them themselves or not want to use them, because they want to be using something distinctive. What we've got to do is make sure that we've got the new brands that they're going to want to shift to and that we play a role in shifting them to those professional-only brands.
Unknown Speaker: Okay, great. Thank you.
Christian A. Brickman - Sally Beauty Holdings, Inc.: You bet.
Operator: Thank you. Our next question comes from the line of Stephanie Wissink with Jefferies. Your line is open.
Ashley Helgans - Jefferies LLC: Hi. This is Ashley Helgans on for Steph Wissink. Thanks for taking our question. We wanted to gain some clarity on what's driving receivables up 25% versus flat sales on the trailing 12-month basis.
Christian A. Brickman - Sally Beauty Holdings, Inc.: It is a short-term impact. We don't expect that. Basically, as you know, we've been going through a significant transition to Oracle and to our ERP platforms. And in the midst of that conversion, there's some changes that led to some slower collection on those. We don't expect that to affect future quarters. It should be normalized within the next few quarters. Brent, I don't know if you want to add any color to that.
Brently Baxter - Sally Beauty Holdings, Inc.: Yeah. There's FX impact too that's driving that up, as well as the timing on some vendor receivables (00:44:42).
Christian A. Brickman - Sally Beauty Holdings, Inc.: So I don't think it's going to continue on much longer, but we'll keep an eye on it. We, obviously, it's something we had a significant dialog as a team as we saw the quarter results and we're working on reducing pretty quickly.
Ashley Helgans - Jefferies LLC: Okay. Great. And is that the BSG segment more so than Sally Beauty?
Brently Baxter - Sally Beauty Holdings, Inc.: Yeah.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Yes.
Ashley Helgans - Jefferies LLC: Okay. Thanks.
Operator: Thank you. Our next question comes from the line of Ike Boruchow with Wells Fargo. Your line is open.
Lauren Frasch - Wells Fargo Securities LLC: Good morning. This is Lauren Frasch on for Ike. I'd like to get into the gross margin dynamics in the back half of the year now that you're expecting a slight decline. What do you foresee being the primary pressures? And do you believe these pressures could alleviate at all by Q4? And finally, I know you're taking select price increases in certain geographies, could you give us an update on that strategy as well? Thank you.
Christian A. Brickman - Sally Beauty Holdings, Inc.: So, I do think some of it will alleviate. So as an example, I think, as we mentioned, I think, the vendor allowances in BSG will normalize throughout the year. On the Sally side, we had an interesting dynamic where conversion shot way up. Some of this was due to the fact that we implemented some changes at our POS register to speed check-out and make it easier for our associates to take care of our customers. It did exactly that in terms of speeding up time at the register, but it also made it easier for the associates to recognize the available offers and to make customers aware of those coupons. And as a result, we saw redemptions shoot up significantly. So the net result is the team is now rethinking their promotional strategy through the rest of the year, taking out some promotions and managing this differently with an expectation of a higher redemption rate. But the net result of that is I do think that will also improve throughout the year. It was the right thing to do to improve customer service at the register and speed checkout. But it had an unintended consequence of increasing our redemption rates.
Lauren Frasch - Wells Fargo Securities LLC: Got you. Thank you so much.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Thank you.
Operator: Thank you. Our next question comes from the line of Joe Altobello with Raymond James. Your line is open.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Great. Thanks, guys. Good morning.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Good morning, Joe.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: So first question, I guess, I have is the move into box color, curious how your vendors on the professional color side are reacting to that? And maybe, you could give us a flavor for how much shelf space you're going to allocate to box versus professional color going forward?
Christian A. Brickman - Sally Beauty Holdings, Inc.: You bet, Joe. So, first of all, one of our professional vendors is the vendor who will be working with us on the box color and they're viewing this as a great growth opportunity to them. They've done a terrific job on package design. I've seen the package, it looks terrific. It very much puts us in the pro arena, just pro color and higher quality color premeasured for you. So, I think, it's a great extension for that vendor and for us to create a simpler option to access PRO color for our customers. And when you think, as I mentioned before, box color at mass retail is north of a $2 billion market and our total color business is only $0.5 billion or a little more than that, I think it's a great growth strategy for us. When we start, we'll take about four feet out of the appliance isle that we will allocate to this product line, to this category and we'll probably have somewhere in the range of 12 color SKUs per line, for our own line, Ion, as well as the national brand. And we may expand from there if it's a big opportunity. We're really excited about it. I wish it was hitting earlier in the fiscal year. It's going to hit kind of late in the fourth quarter, but I think it's a big opportunity for growth for us going forward.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Okay. Are you concerned about the hit potentially to your revenue and margins, because the price points on professional color are probably 2x on average what they are on box color?
Christian A. Brickman - Sally Beauty Holdings, Inc.: The margins on these products look terrific. So, to begin with, they're going to be certainly in the range of not north of what we already make margin wise. In addition, our research tells us that once a consumer is into pro color she's not going to shift back. The real opportunity is the customer that walks out of our door today because she just is a little scared of pro color, and therefore she goes to her grocery store or to our competitor and buys a box color option because her perception isn't simpler.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Okay. So, it's more incremental then...
Christian A. Brickman - Sally Beauty Holdings, Inc.: I really believe it is.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Okay. Okay. And just one last one, I guess, sort of big picture, you spent probably 15 minutes this morning, Chris, talking about the growth initiatives, the cost savings opportunities, is there a concern that you guys just have too many balls in the air, particularly now with Don leaving, that there's just a lot going on at the company at this point?
Christian A. Brickman - Sally Beauty Holdings, Inc.: You know, Joe, obviously there's always a concern. We're trying to make sure and what you see with the change there, is we're trying to make sure we have the best possible team to drive an aggressive agenda both on the cost front and the growth front. We're managing it really tightly. We've got the entire team aligned around it. And you're right, there's a lot of components to it. But I feel right now like we're staging those and prioritizing those appropriately and building a team that can make it happen. So there's a lot going on. I think that's the right thing to do, given how fast retail is changing. We have to change with it. But I'm excited about what we've got laid out as an agenda on both the cost and the revenue side.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Okay. Great. Thank you.
Operator: Thank you. Our next question comes from the line of Carla Casella with JPMorgan. Your line is open.
Unknown Speaker: Hi. This is May Nin (00:50:31) on for Carla Casella. I just want to dig in a little bit more on the strategic price actions taken in the Sally stores. I was just wondering what percent of the products that encompasses and what percent of products are above market on pricing overall?
Christian A. Brickman - Sally Beauty Holdings, Inc.: Again, we did those actions in November. They were very focused on SKUs where we have a high level of overlap with mass. And that, by the way, tended to bias towards some of the pro products, as well as some of the multicultural products. As I mentioned earlier on the call, our estimate was that the gross margin impact would be a little bit above 20 basis points, and that seems to be where it's falling. And again, we didn't expect a ton of growth for it. It wasn't a massive change. The real goal was to make sure that there wasn't a consumer perception that because we would've been higher on some of these overlapping products, that perhaps some of our own brands were overpriced as well or that our whole store was overpriced. So, it was more about a signaling that we're continuing to be a good value place to get pro-quality products at a better value. And I think, it did exactly what we wanted it to do there. But it wasn't a major initiative that significantly changed our margins.
Unknown Speaker: So it would have affected your brands as well, on top of all the overlap?
Christian A. Brickman - Sally Beauty Holdings, Inc.: No, no. It did not affect our own brands in any significant way. It really was the brands that are open brands that are overlapping with mass.
Unknown Speaker: Got it. And then just a quick follow-up, another one. Look, are you heard (00:52:06) on vendor allowances earlier in the Q&A. I think, you touched upon it earlier when someone else asked, but can you explain a little bit how they work for you guys? And are they changing significantly? And are the allowances similar for Sally, BSG and online?
Christian A. Brickman - Sally Beauty Holdings, Inc.: Yes, those vendor allowances I was referring to are mostly applicable to the BSG business. And they did – they are – what we do see is we do see some lumpiness throughout any given year. The allowances tend to be, on a full-year basis, to be about the same. But there's – sometimes they are more in one quarter versus another and that's what you're having happen here. They were biased towards the second quarter last year. And they're a little less biased towards the second quarter this year. And it's based on how merchandising buys the product and times the buys throughout the year.
Unknown Speaker: Got it. Thank you. That's helpful.
Christian A. Brickman - Sally Beauty Holdings, Inc.: You bet.
Operator: Thank you. We will go to the line of William Reuter with Bank of America. You line is open.
William Michael Reuter - Bank of America Merrill Lynch: Good morning. Earlier, you talked about focusing more on brands that have maintained exclusivity, those which are not exclusive maybe spending a little bit less effort or less prominent placement. I guess, how large an impact is it to brands that have stopped being exclusive? I don't know if you can quantify this in terms of the percentage of these products? Or I guess, how big is the change?
Christian A. Brickman - Sally Beauty Holdings, Inc.: Yeah. I mean, the reality, this is something that's gone on in pro forever. Brands mature in their lifecycle over time and they eventually go retail. I think, the only difference today is they have a few – they have options to go a little bit faster as they go retail. So it's a little easier to ramp up and run promotions at a competitor like Ulta or through Amazon. The reality is – so we've been managing this life cycle forever and now it's just certain brands can get there a little bit faster. This is not a huge part of BSG's business. It's less than 10% of BSG's business that sits in these brands. And our job is to switch these customers out and to switch the pros to other lines that they see as maintaining their professional heritage. It (00:54:27), just to be clear, that are in the hair care category that are not tied to a color line. Right? Because if you're in hair care and you're tied to a color line, if you abandon the professional segment, you risk your color business. But if you're hair care and you're not tied to a color line, which is a modest part of our business, it's easier to do this and expand distribution without sacrificing your color business. So it's a natural part of the business. We've managed it over time. I'd say it's accelerating in terms of how quickly those brands can move and as a result of that we've got to get better at de-emphasizing those brands and then transitioning pros over to alternative brands that they see as continuing to be focused on their professional heritage.
William Michael Reuter - Bank of America Merrill Lynch: Okay. So is it fair to say there has not been a dramatic change in the pace and that this is pretty similar to what's always gone on with (00:55:24) ?
Christian A. Brickman - Sally Beauty Holdings, Inc.: I'd say, it's a modest increase in the pace.
William Michael Reuter - Bank of America Merrill Lynch: Okay. And then, just one more from me. You talked about the savings and reinvesting those. A couple things that you guys have talked about on the call, you've talked about paying associates more. You've also talked about this dual marketing strategy or many different paths between radio, direct mail, social influencers. Are those the main places you're investing? Or are there other things we should be thinking about?
Christian A. Brickman - Sally Beauty Holdings, Inc.: Well, obviously, as an example the loyalty program is an investment we're going to be making as we roll that out. There's marketing around that. There's a lot of store concept work that's going on. As you know, we've got new POS coming out, we've got a JDA system coming out. So, there's a number of investments that we'll be timing against the business. And we've got to prioritize those because we've got to execute them well. But it's a mix of investments, I would just say the store labor one is one that's going to happen sooner.
William Michael Reuter - Bank of America Merrill Lynch: Okay. I'll pass to others. Thank you.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Thank you.
Operator: Thank you. And speakers, I'd like to turn it back over to you for any closing comments.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Thank you. To summarize, we fully recognize the need to reinvest in our business in order to drive future growth. And we have aggressive plans to upgrade our e-commerce platform, our store technology, our merchandising system, our loyalty and CRM capabilities, our merchandising and store concepts and our associate compensation strategy. And these investments will be funded through our recently announced cost reduction program. Despite retail sector headwinds, we are the established leader in hair color and hair care for the professional and the consumer and these categories have sustained healthy growth while other categories have faced increasing competition. We believe that these strategic investments will accelerate growth in our highly differentiated categories of color and care and keep us on the path to long-term earnings growth. Thank you for joining us today.
Operator: Thank you, and ladies and gentlemen, today's call will be available for replay after 9:30 a.m. today until midnight May 10. You may access the AT&T Teleconference replay system by dialing 1-800-475-6701 and entering the access code of 446634. International participants may dial 320-365-3844. Both numbers once again, 1-800-475-6701 and 320-365-3844 and enter the access code of 446634. That does conclude your conference call for today. Thank you for your participation and for using AT&T Executive Teleconference Service. You may now disconnect.